Operator: Good morning, ladies and gentlemen, and welcome to the Orbit Garant Drilling's Financial Fiscal 2026 Second Quarter Results Conference Call and Webcast. [Operator Instructions] Please be aware that certain information discussed today may be forward-looking in nature. Such forward-looking information reflects the company's current views with respect to future events. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those projected in the forward-looking information. For more information on the risks, uncertainties and assumptions relating to forward-looking information, please refer to the company's latest MD&A and annual information form, which are available on SEDAR+. Management may also refer to certain non-IFRS financial measures. Although Orbit Garant believes these measures provide useful supplemental information about financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please refer to the company's latest MD&A for additional information regarding non-IFRS financial measures. This call is being recorded on Thursday, February 12, 2026. I would now like to turn the floor over to Mr. Daniel Maheu, President and CEO of Orbit Garant Drilling. Welcome, sir.
Daniel Maheu: Thank you, Jim, and good morning, ladies and gentlemen. With me on the call is Pier-Luc Laplante, Chief Financial Officer. Following my opening remarks, Pier-Luc will review our financial results in greater detail, and I will conclude with comments on our outlook. We will then welcome questions. As expected, our results for our fiscal second quarter reflect the full resumption of certain projects in Canada and South America that were temporarily delayed in Q1 and the continued ramp-up of new drilling projects in Canada. Aside from a customer initiated delay on one drilling project in South America and unexpected modification to another during Q2, we have increased overall drilling activity in the quarter in both Canada and South America, including a higher proportion of specialized drilling in Canada. Our revenue and margin for the quarter were somewhat constrained by the temporary delay on these 2 projects in South America. Competitive pricing on new projects and contract renewals remained during the quarter. Overall, revenue for our fiscal second quarter was up by 10.5% compared to Q2 a year ago, and our adjusted gross margin was 18.5% compared to 21.5% in Q2 last year. Our drill utilization rate in the quarter reached the highest level in more than 2 years and supported by new drilling contracts and contract renewals. We expect further increase in our drilling utilization rate in our fiscal third quarter, which we can accommodate with minimal mobilization costs. Some of these increased utilization gains may not be fully realized until our fiscal fourth quarter due to the various challenges caused by the severe winter weather conditions we have experienced in Canada in January and into February. We also expect to continue to benefit from the continued advancement of our ramp-up activity on new projects in Canada as projects typically yield lower gross margin during the ramp-up period. While we have experienced some unexpected project delays in the first half of the year, these projects are all back online now, and we are well positioned to continue increasing our drilling utilization rate to drive revenue growth. Demand for our drilling services in both Canada and South America remained strong, supported by record gold prices and elevated copper prices and bidding activities on new projects remains at a high level. I will now turn the call over to Pier-Luc to review our financial results for the second quarter in greater detail. Pier-Luc?
Pier-Luc Laplante: Thank you, Daniel, and good morning, everyone. Revenue for the quarter totaled $47.9 million, up from $43.5 million in Q2 last year. Canada revenue was $33.8 million in the quarter, an increase of 9.8% compared to Q2 last year, reflecting increased drilling activity and a higher proportion of specialized drilling. International revenue totaled $14.1 million, an increase of 12.1% compared to Q2 a year ago, reflecting increased drilling activity in both Chile and Guyana. So our revenue was constrained in the quarter by a customer decision to temporarily delay one project and unexpected modifications to another drill program. The project that was temporarily delayed by a customer decision was fully resumed in January 2026. Gross profit was $6.5 million or 13.5% of revenue compared to $7.2 million or 16.5% of revenue in Q2 2025. Adjusted gross margin, excluding depreciation expenses, was 18.5% in the quarter compared to 21.5% in Q2 last year. The decreases in gross profit and adjusted gross margins are primarily attributable to lower drilling productivity on certain projects in Canada, a competitive pricing environment on new contracts and contract renewals and the customer initiated delay and modifications to certain drilling programs in South America. Adjusted EBITDA totaled $5.1 million, up from $4.5 million in Q2 last year. Net earnings for the quarter were $1.3 million or $0.03 per share diluted compared to $0.5 million or $0.01 per share and diluted in Q2 last year. The increases in adjusted EBITDA and net earnings were primarily attributable to lower income tax expenses and a favorable foreign exchange variation, partially offset by lower operating earnings. Turning to our balance sheet. We repaid a net amount of $3.3 million on our credit facility in the quarter compared to a repayment of $2.4 million in Q2 a year ago. Our long-term debt under the credit facility, including the current portion, was $16.0 million at quarter end, down from $19.3 million at the end of Q1, but up from $14.0 million at our fiscal 2025 year-end. Our increased debt in the first half of fiscal 2026 is the result of our yearly shipments of equipment inventory for our operations in Nunavut and Nunavik. We expect to continue to pay down debt on a net basis throughout the remainder of fiscal 2026. On December 22, 2025, the company entered into a sixth amended and restated credit agreement with National Bank and the lenders in respect of the credit facility. The credit facility consists of a $30.0 million revolving credit facility, along with the credit facility in the unused amount of USD 5.0 million utilized for the purposes of standby letters of credit. The credit facility expires on December 22, 2029. On October 28, we announced that the Toronto Stock Exchange approved our renewed normal course issuer bid, which allows us to repurchase up to 500,000 shares over a 12-month period that began on October 31, 2025. During the quarter, we repurchased and canceled 141,450 shares at a weighted average price of $1.29 per share pursuant to the NCIB program. We continue to view the NCIB as a useful tool to enhance shareholder value when the underlying value of Orbit Garant is not reflected in our share price. Our working capital was $51.9 million at quarter end compared to $50.4 million at the end of fiscal 2025. I will now turn the call back to Daniel for closing comments. Daniel?
Daniel Maheu: Thank you, Pier-Luc. With record gold prices and historically high copper prices supporting strong customer demand for our drilling services, we are confident in our business outlook for the second half of fiscal 2026 and entering into fiscal 2027. The level of demand for our drilling services from senior and intermediate mining customers in both Canada and South America is increasing, and we are seeing a definite acceleration of requests for proposal from junior exploration company in Canada. Due to the sustained high level of demand in our industry, we expect to experience cost inflation with respect to supply, material and wages. So we are going to have to work with our customers to accommodate these expected increases to our input costs with future contract and renewal. Increased demand from junior exploration company may have a positive impact on the current pricing environment. Our overall priorities remain the same going forward, a strategic focus on senior and well-financed intermediate customers in Canada and South America, our disciplined business strategy and continuous operational improvement program. By focusing on this priority, we intend to capitalize on opportunities in this period of elevated customer demand to deliver enhanced profitability and value for our shareholders. That concludes our formal remarks this morning. We will now welcome any questions. James, please begin the question period.
Operator: [Operator Instructions] We will hear first from Kerem Aksoy at Glacier Pass.
Kerem Aksoy: It seems like it's an exciting time for the industry. I had a couple of questions. Just maybe one more routine to start. I was wondering if you can provide a little more color on the outlook for the International segment. You mentioned during the prepared remarks that the segment was impacted by a customer decision in South America, and we kind of saw the margins decrease year-over-year. What should we expect for the second half of the year in that segment and maybe going on?
Daniel Maheu: Thank you for this question. Essentially, in Chile, we have 3 customers, big copper mines, and they have some concerns with budget. They have sometime -- some requests to move the drill. So that could take several weeks to do so. So essentially, we have long-term contracts with these customers in Chile, and that's the point. The other thing is in Guyana, actually, the market is very strong and customer asked us to move also equipment from a site to another site. So that creates some delays. But that's very positive for the next quarter because the market is increasing there. And these requests from customers, it's a good thing for us.
Kerem Aksoy: That's helpful. And then maybe just kind of moving to Canada. I mean you kind of provided some commentary in your prepared remarks, but I was wondering if you could just kind of dig into that a little bit more. Maybe just kind of big picture when you speak to your clients, maybe on the senior side, have they provided any commentary to you about what their budgets will look like in 2026? And I'm just curious how that might have changed year-over-year or kind of what their expectations that they've outlined to you are?
Daniel Maheu: Yes, that's correct. The point is here is our customer, as you know, probably more -- in Canada, more than 80% of our drilling business is related to a customer in the gold industry. So with the gold price, actually, customer wants to increase their drilling exploration project, and they ask us to add several drills there and there. For example, we have a customer asking for 2 new drills in Q2. So we added. And we -- in the quarter, we had more than -- I think it's 10 drills. So we -- that's why our utilization rates went from 56% in Q1 to 62% in Q3 and Q2. So -- and we expect this level of utilization rate for new contracts from actual customer will increase in Q3, probably at 65% utilization rate. So that's the market in Canada. So that's very encouraging for us. It's great.
Kerem Aksoy: That's helpful. Maybe just one last one for me. You mentioned you started to see some increased demand from juniors. I'm curious, we saw a lot of financing for juniors kind of last year, maybe started this year. Has all of that money started to flow into tenders? Or do you think there's still a bit of delay and you might see a step-up in demand from juniors? Or I mean, have we seen all the demand from juniors yet? Or is it still to come?
Daniel Maheu: What we see actually in the market, the money is coming. Right now, we have requests from juniors for more than, let's say, a small program. Let's say, in the last few quarters, we have small requests for less than 5,000 meters for 2, 3 months' work. Now we see since end of December 2025, we see a request for a longer drilling program, more 6 months, and it's over 5,000 meters, 15,000, 20,000. So that's interesting. This is not our main market. We focus more on major and intermediate customer. But that means the small drilling companies will go with these small request from juniors. So that gives us more space to work with our target customer for long term and let's say, more specialized drilling. So at the end of the day, that's exactly where we want to go. And that's, let's say, junior demand is positive for us on the short and long term.
Operator: [Operator Instructions] Mr. Maheu, I do not see any signals from our audience. I would like to turn it back to you, sir, for any additional or closing remarks that you have.
Daniel Maheu: Thank you, Jim, and thank you, everyone, for participating today. We look forward to speaking with you again soon.
Operator: Ladies and gentlemen, this does conclude today's Orbit Garant Drilling 2026 Q2 Conference Call and Webcast. We do thank you all for your participation, and you may now disconnect your lines.